Operator: Ladies and gentlemen, thank you for standing by. Welcome to the fourth quarter earnings release conference call. [Operator Instructions] As a reminder, this conference is being recorded. 
 Members of Buckle's management on the call today are Dennis Nelson, President and CEO; Karen Rhoads, Vice President of Finance and CFO; Pat Whisler, Vice President of Women's Merchandising; Bob Carlberg, Vice President of Men's Merchandising; and Tom Heacock, Treasurer and Corporate Controller.
 As they review the operating results for the fourth quarter, which ended January 28, 2012, they would like to reiterate their policy of not giving future sales or earnings guidance and have the following Safe Harbor statement under the Private Securities Litigation Reform Act of 1995. All forward-looking statements made by the company involve material risks and uncertainties and are subject to change based on factors, which may be beyond the company's control. Accordingly, the company's future performance and financial results may differ materially from those expressed or implied in any such forward-looking statements. Such factors include, but are not limited to, those described in the company's filings with the Securities and Exchange Commission. The company does not undertake to publicly update or revise any forward-looking statements, even if experience or future changes make it clear that any projected results, expressed or implied therein, will not be realized. Additionally, the company does not authorize the reproduction or dissemination of transcripts or audio recordings of the company's quarterly conference calls without its expressed written consent. Any unauthorized reproductions or recordings of the call should not be relied upon, as the information may be inaccurate. 
Karen Rhoads: All right. Well, thank you for that introduction there. And good morning, everyone. Thank you for joining us on the Buckle call. I'd like to start off by giving you some of the financial information. Our March 8, 2012 press release reported that net income for the fourth quarter that ended January 28, 2012, was $56.1 million or $1.18 per share on a diluted basis, which was up 13.4% from net income of $49.5 million or $1.05 per share on a diluted basis for the prior year fourth quarter ended January 29, 2011. Our net income for the 52-week fiscal year that ended January 28, 2012, was $151.5 million or $3.20 per share on a diluted basis, which was up 12.5% from net income of $134.7 million or $2.86 per share on a diluted basis for the 52-week fiscal year ended January 29, 2011. 
 Net sales for the 13-week fourth quarter increased 11.2% to $337.1 million compared to net sales of $303.1 million for the prior year fourth quarter. Comparable store sales for the quarter increased 8%, and online sales, which are not included in comparable store sales, increased 30.9% to $27.6 million. Net sales for the 52-week fiscal year ended January 28, 2012 increased 11.9% to $1.063 billion compared to net sales of $949.8 million for the prior year 52-week fiscal year ended January 29, 2011. 
 Comparable store sales for the year increased 8.4%, and online sales, which again are not included in comparable store sales, increased 25% to $78 million. Gross margin for the quarter was 47.4%, down approximately 20 basis points from 47.6% for the fourth quarter last year. The decline was driven by a 40-basis-point reduction in merchandise margins and an increase in expense related to the incentive bonus accrual, which had about a 40-basis-point impact. And these costs were partially offset by leveraging of certain occupancy and distribution costs, which had about a 60-basis-point impact. 
 For the fiscal year, gross margin was flat at 44.1%, a 20-basis-point reduction in merchandise margins and increases in distribution and shipping expenses, as well as the expense related to the incentive bonus accrual, which had a combined 30-basis-point impact, were offset by the leveraging of certain occupancy costs, which had about a 50-basis-point impact. 
 Selling expense for the quarter was 17.8% of net sales, which was a reduction of approximately 100 basis points from the fourth quarter of fiscal 2010. The decline was driven by decreases as a percentage of net sales and expense related to incentive bonus accrual, health insurance claims expense and bank card fees. For the fiscal year, selling expense was 18.4% of net sales, down approximately 30 basis points from fiscal 2010. The decline was driven by decreases as a percentage of net sales in health insurance claims expense and bank card fees and by the leveraging of certain other selling expenses, which were partially offset by an increase in store payroll expense. 
 General and administrative expenses for the quarter were 3.6% of net sales, up approximately 40 basis points from the fourth quarter of fiscal 2010. Increases in expense related to the incentive bonus accrual and equity compensation expense were partially offset by a reduction in the year-end accrual for vacation pay and by the leveraging of certain other general and administrative expenses. 
 For the fiscal year, general and administrative expenses were 3.5% of net sales, up approximately 30 basis points from fiscal 2010. 
 Increases in expense related to the incentive bonus accrual and equity compensation expense were partially offset by a reduction in the year end accrual for vacation pay and by the leveraging of certain other general and administrative expenses. 
 Our operating margin for the fourth quarter was 26% compared to 25.6% for the fourth quarter of fiscal 2010. For the full fiscal year, our operating margin was 22.2% in both fiscal 2011 and fiscal 2010. Other income for the quarter was $1.7 million, which compares to $1.0 million for the fourth quarter of fiscal 2010, and other income for the full fiscal year was $4.2 million compared to $3.9 million last year. 
 Income tax expense as a percentage of pretax net income was 37.4% for the fourth quarter of fiscal 2011 compared to 37.2% in the fourth quarter of fiscal 2010, bringing fourth quarter net income to $56.1 million for fiscal 2011 versus $49.5 million for fiscal 2010, an increase of 13.4%. For the full fiscal year, income tax expense was 37.0% of pretax net income in fiscal 2011 and 37.3% in fiscal 2010, bringing year-to-date net income to $151.5 million for fiscal 2011 compared to 137 -- I'm sorry, $134.7 million -- I think I said that wrong, $134.7 million for fiscal 2010, which was an increase of 12.5%. 
 Our press release also included a balance sheet as of January 28, 2012, which included the following: Inventory of $104.2 million, which was up approximately 17.6% from inventory of $88.6 million at the end of fiscal 2010; and total cash and investments of $236.5 million, which compares to $205.5 million at the end of fiscal 2010. As of the end of the quarter, inventory on a comparable store basis was up approximately 11%, and total markdown inventory was down slightly compared to the same time a year ago. The reduction in markdown inventory was the result of decreases in the 1/3, 50% and 75% off categories. 
 We also ended the quarter with $169 million in fixed assets, net of accumulated depreciation. Our capital expenditures for the quarter were $5.2 million, and depreciation expense was $9.3 million. For the full fiscal year, our capital expenditures were $36.6 million, and depreciation expense was $32.8 million. 
 Year-to-date capital spending is broken down as follows: $32.5 million for new store construction, store remodels and store technology upgrades; and $4.1 million for capital spending at the corporate headquarters and distribution center. We currently expect our fiscal 2012 capital expenditures to be in the range of $32 million to $36 million. 
 For the quarter, UPTs declined approximately 1%, and the average transaction value increased approximately 7%, and the average unit retail increased approximately 8%. For the full fiscal year, UPTs increased approximately 1%, the average transaction value increased approximately 5.5% and the average unit retail increased approximately 4.5%. 
 Additionally, during the fiscal year, our average sales per square foot increased from $428 in fiscal 2010 to $462 per square foot in fiscal 2011. And our average sales per store increased from $2.1 million in fiscal 2010 to $2.3 million in fiscal 2011. 
 Buckle ended the year with 431 retail stores in 43 states compared to 420 stores in 41 states at the end of fiscal 2010. Additionally, our total square footage was 2.156 million square feet as of the end of the year, which compares to 2.102 million square feet at the end of fiscal 2010. 
 At this point, I'd like to turn the call over to Tom Heacock, our Corporate Controller and Treasurer. 
Thomas Heacock: Good morning, and thanks for joining us. I'd like to start by highlighting the performance from our various merchandise categories that led to our sales increases of 11.2% for the fourth quarter and 11.9% for the full fiscal year. 
 Men's merchandise sales for the quarter were up approximately 12%. Strong categories included denim, woven shirts, active apparel, outerwear, accessories and footwear. Average denim price points increased -- or decreased from $87.30 in the fourth quarter of fiscal 2010 to $86.85 in the fourth quarter of fiscal 2011. For the quarter, our men's business was approximately 43% of net sales compared to approximately 42.5% last year, and the average men's price points increased approximately 6.5% from $56.35 to $59.90. For the full fiscal year, men's merchandise sales were up approximately 13%. 
 Strong categories included denim, woven shirts, active apparel, outerwear, accessories and footwear. Average denim price points increased from $86.90 in fiscal 2010 to $88.05 in fiscal 2011. For the year, our Men's business was approximately 40.5% of net sales compared to approximately 40% last year, and the average men's price points increased approximately 6% from $51.25 to $54.45. 
 Women's merchandise sales for the quarter were up approximately 10.5%. Strong categories included denim and casual bottoms, woven tops, active apparel and footwear. Average denim price points increased from $91.85 in the fourth quarter of fiscal 2010 to $99.85 in the fourth quarter of fiscal 2011. For the quarter, our women's business was approximately 57% of net sales compared to approximately 57.5% last year, and average women's price points increased approximately 10.5% from $46 to $50.85. 
 For the full fiscal year, women's merchandise sales were up approximately 11%. Strong categories included denim and casual bottoms, woven and knit tops, active apparel, accessories and footwear. Average denim price points for the full year increased from $91.40 in fiscal 2010 to $96.10 in fiscal 2011. For the year, our women's business was approximately 59.5% of net sales compared to approximately 60% last year, and average women's price points increased approximately 5% from $44.25 to $46.40. 
 For the quarter, combined accessories sales were down approximately 2% and combined footwear sales were up approximately 19%. These 2 categories accounted for approximately 8.5% and 4%, respectively, of fourth quarter net sales, which compares to approximately 9.5% and 4% for each in the fourth quarter of fiscal 2010. Average accessory price points were up approximately 2%, and average footwear price points were up approximately 6.5% for the quarter. 
 For the full fiscal year, combined accessories sales were up approximately 9% and combined footwear sales were up approximately 17.5%. These 2 categories accounted for approximately 8% and 5%, respectively, of fiscal 2011 net sales, which compares to approximately 8.5% and 4.5% for each in fiscal 2010. Average accessory price points were up approximately 1.5%, and average footwear price points were also up approximately 1.5% for the full year. 
 For the quarter, denim accounted for approximately 50.5% of sales and tops accounted for approximately 31.5%, which compares to approximately 47.5% and 34% for each in the fourth quarter of last year. For the full fiscal year, denim accounted for approximately 46.5% of sales and tops accounted for approximately 32%, which compares to approximately 45.5% and 34% for each in fiscal 2010. 
 Our private label business was flat as a percentage of net sales for the fourth quarter and down just slightly for the year, and it represents approximately 32% of sales for the year. During the fourth quarter, we opened 2 new stores and completed one substantial remodel, bringing our account for the full year to 13 new stores and 24 substantial remodels. As of the end of the year, 301 of our 431 stores were in our newest format. 
 For fiscal 2012, we anticipate opening 11 new stores, including 3 for spring, 6 for back-to-school and 2 for holiday, and we also anticipate completing 20 substantial remodels during the year. By season, we anticipate 9 of the remodeled stores will be completed for spring, 8 for back-to-school and 3 for holiday. Our planned new store openings for spring include stores in Portland and Bend, Oregon and a new store in Charlottesville, Virginia. And with that, we'll open it up to your questions. 
Operator: [Operator Instructions] Our first question comes from the line of Tom Filandro of Susquehanna. 
Thomas Filandro: My first question is, there's been a little chatter out there about potentially some changes in vendor terms. I was wondering if that is true, and if it is, what that might be. If you guys could address that, I don't know if you've heard about it. My second question is an inventory-related question. Just directionally, Dennis, I know you guys talked about you felt that there was opportunity entering the fourth quarter in a couple of areas: Denims, select tops, I think men's outerwear, and that was one of the drivers to your inventory increase. How should we think about the inventory outlook for the balance of 2012? Are there other missed opportunities that you guys think are in the business? 
Thomas Heacock: Karen, do you want to take the first part and I'll take the inventory? 
Karen Rhoads: Sure. On the vendor terms, really there aren't any changes in the vendor terms. The one thing that we've transitioned over the past several years is on some of the vendors instead of on returns to vendor. We may have a return allowance rather than physically returning the product to the vendor. But we feel like that's a very good partnership with the vendor and really should have a neutral financial impact on that. Then, Dennis, if you want to take the directionally, the inventory. 
Dennis Nelson: Yes. As we entered the first quarter this spring, we felt that we had some later deliveries last year, especially on the ladies' side where we had some denim inventory that was a little low. We brought in our denim crops and capris earlier this year and a little better selection of some of the tops, and actually even shorts. So we had a nice response to that in February. As well as the men's continued to flow product for the spring season, which also had a nice response. I believe last year, at the end of the first quarter, our inventory was up a little over 2% all stores and comp stores down 3%. So we felt that being at about 17.5% starting the quarter was -- we were comfortable with that inventory starting out. Did that answer your question? 
Operator: Our next question comes from the line of Simeon Siegel of JPMorgan. 
Simeon Siegel: Dennis, maybe, I'll just -- one quick one on the inventory and then another. I was just wondering about the broader philosophy around inventory at this point. So we've typically seen your inventory grow lighter than sales. I think it's the third consecutive quarter where that may not have been the case. So has something changed in the way you're thinking about? I know you've went -- you just went through the specifics for the one Q, but is there something about building inventories to drive sales? I don't know if you -- if there's any of the competition between what this particular quarter between AUC versus units, and then just the way we should be thinking about that as we refer back to your historical or is -- should we be expecting this build to continue? Any color around that would be helpful. And then just quickly, maybe Karen, you showed some really impressive discipline around the selling expenses. I think that's typically been a fairly static line item for you guys, ranging with sales. We haven't seen this much variance, good or bad, in a while. So any color you could give around that, why you were able to leverage that selling expense line so well and how we should be thinking about that going forward. 
Dennis Nelson: Simeon, I think the response in the inventory is we just continue to build certain styles and fits that we've had good response to, and that we've been trying to increase inventory to take advantage of the opportunity of sales, as well as finding -- testing out some new categories as well. And we actually just been running the inventory a little too lean to maximize business. And we were able to highlight a selection in product and brands that we felt good about to deliver the stores, and the stores did a nice job with that. Karen, do you want to take the second half? 
Karen Rhoads: Sure. On the question regarding the selling expense, really probably there would be better to focus on the year-to-date rather than the quarter. In the fourth quarter, for the incentive compensation expense, once those incentive pools are all finalized at the end of the year, there is some true-up of that expense between the categories, cost of goods sold, selling and G&A. So I think the year-to-date's probably a little bit truer picture. And we did, I think, have a nice job in year-to-date of using the sales to try and get a little bit of leverage in that selling expense. There are a lot of items in selling that are variable. So I think going forward, we still have to continue to always look to improve cost but know that, that category in particular will fluctuate somewhat along with sales. 
Operator: Our next question comes from Margaret Whitfield of Sterne Agee. 
Margaret Whitfield: Dennis, with 11 stores planned for this year, is there -- what do you see is the ultimate potential for the chain? Is this the new normal in terms of forward store openings that we can expect? Because it had been running around 20, 21 couple years back. Wondered if you could give us your thoughts on where your inventories might end at the end of Q1 and trends in AUR and AUC for the first half of the year. 
Dennis Nelson: On the amount of new stores, I mean, we're continually monitoring that. I would -- the best I would guess for next year at this point would probably be still in the low- to mid-teens on new stores. And on inventory, our estimate at the end of the first quarter would probably be down a little bit from the end of the first quarter starting out. So probably I would feel comfortable probably somewhere in the low- to mid-teens inventory at the end of the first quarter. And I believe a year ago, the inventory on comp stores was down, I believe, about 5% if I remember correct at the end of last year's first quarter. And then could you state the rest of that question, please? 
Karen Rhoads: I think the other part of Margaret's question was on the average unit retail and average unit cost. 
Dennis Nelson: Well, we would expect the average unit retail to be pretty similar to the fourth quarter, maybe down slightly. As far as costing, we would expect the first half of the year probably to be maybe slightly improved on cost level but fairly consistent with the first half of last year. 
Operator: Our next question comes from the line of Adrienne Tennant of Janney Capital Markets. 
Adrienne Tennant: Dennis, my first question for you is we've been in the stores, and obviously, the colored skinny leg denim is a big trend among the teen and young contemporary. Your stores don't show it as much as maybe some of the competitors, and I was just wondering what your philosophy or your thought was on that. They also seem to tend to be the lower-priced denim in your stores. So if you could talk a little bit about that and the go-forward strategy for the rest of the spring season. And then for Karen, what were the -- or what was the driving force behind the price increases on both men's and women's, particularly in the denim? Did you take up the initial retails to compensate for some of the AUC? And then what was the actual AUC up in the fourth quarter? 
Dennis Nelson: On the colored denim, I guess we were a little conservative starting out. We have some casual crops and shorts with colors that'll be arriving, but still a smaller part of our business, and we're still testing out some of the colored denim and prices going into spring. So we have started a little low on that. Pat, do you have any comments? 
Patricia Whisler: On colored denim, we are doing a blend, as Dennis mentioned, between our casual and our denim program. We felt going into spring, it would be nice to have a selection of shorts and crops, and maybe we're a little light on our full selection. We are continually reviewing that and flowing colors throughout the spring season. So we'll just monitor selling. We're really happy with how our performance was in the overall denim category, however. 
Operator: Our next question comes from the line of... 
Dennis Nelson: I think Karen needed to answer one other part of it. 
Karen Rhoads: Correct. Yes, the second part of the question there was the drivers on the cost. For the fourth quarter, as you might have noticed, that men's denim was actually down just slightly on average price points. And part of that would be very strong private label in the fourth quarter, including both our BKE and the ReClaim brand. On the women's denim, for the quarter, those denim price points were up very nicely, although we have very good private label. We have a lot of strength in the branded product in the fourth quarter on the women's side. And Pat may want to elaborate on that a little bit more. But I would say, just the brands that we're selling, very strong on the women's denim in the fourth quarter there. 
Operator: Our next question comes from Lee Giordano of Imperial Capital. 
Lee J. Giordano: Can you talk a little more about the performance of your new stores that you've opened up recently? Are you seeing the same type of ramp-up to maturity as you have in the past? And then also on the remodels, what kind of improvements are you seeing there after you remodel the store both on the topline comp and on the bottom line? 
Dennis Nelson: We've been pleased with our new store openings this past year. Naturally, where they -- the guest knows us pretty well, they will ramp up quicker than the others. And we're seeing, for the most part, consistent with traditional new store openings on their performance. The -- I'm sorry, what was the second part? 
Lee J. Giordano: About the... 
Karen Rhoads: On the remodels that we're doing. 
Dennis Nelson: Oh, yes. The remodels is usually positive, especially if we relocate in the mall or add 20% or 30% more square footage, we see a nice gain. But some of that depends on the dominance of the store before we remodel and the performance they're at. So if they are performing very well, then we might see smaller gains than in a store that had more potential to grow. But they would probably see double-digit averages in those remodels. 
Operator: Our next question comes from line of Edward Yruma of KeyBanc. 
Edward Yruma: Given the build in inventory, I know you've indicated that the growth will be a little lower in the first quarter. But you also noted that markdown inventory was down in the fourth quarter. Should we assume that at some point markdown inventory moves up at least in the same direction as overall inventory? 
Dennis Nelson: I would think that is not necessarily true. That was just the performance of how this new selection and such starts out and performs in the stores. So that would not necessarily be true. 
Edward Yruma: Actually one follow-up for Karen. Karen, I think you mentioned in your prepared remarks that there was a vacation day accrual reversal or something to that effect. Can you give a little bit more color on that? And was that a one-time impact? 
Karen Rhoads: That impact, we did change a little bit the way that we are accruing for vacation time and accruing it more consistently as it is earned. So we'll be accruing that throughout the year, so it will have some impact quarterly during fiscal 2012 but on an annual basis then, should be about equivalent going forward. Tom, I don't know if you have anything else you would like to add on that. 
Thomas Heacock: I think that says it well. 
Operator: Our next question comes from the line of John Kernan of Cowen. 
John Kernan: Wanted to touch on AUR and pricing again. As we walk out into the back half of the year and into -- further it out in 2012, do you see pricing and AUR and average transaction value kind of staying at this level and this being kind of a driver of sales? Or as the average unit cost environment kind of changes in the back half of the year, do you see yourselves pulling back on pricing? Then I have one follow-up. 
Dennis Nelson: I think the back half, there might be some of our retails that we would bring down a little bit for -- but overall with our product, I would see it being pretty consistent for the most part. The -- we're not buying necessarily like product exactly going forward. There's always changes in styling and fabrics and details. So it's a little difficult to match up, but I think that would be close. Bob, do you have any thoughts on that? 
Robert Carlberg: No. Yes, I think you said it well. 
Edward Yruma: Okay. And then one follow-up on this variance we saw in, I guess, selling expenses this quarter. How -- could you give us an idea as to how much your SG&A expenses sit relative to variable? 
Karen Rhoads: I guess, off the top, I think that would be hard just to ballpark and throw that number out. I don't know, Tom, if you have a better... 
Thomas Heacock: I mean, on the selling, a lot more of it is a variable and the biggest piece of it is store payroll. And so just kind of the way we model that and the way that we take care of our guests, obviously, that flux is in line with sales and hopefully we can do better than how sales grow. But the biggest piece, I would say, is probably variable, especially on the selling. 
Operator: [Operator Instructions] Our next question comes from the line of Bill Dezellem of Tieton Capital Management. 
William Dezellem: A couple of questions. First of all, your online sales were up roughly 31% in the Q4 versus roughly the 25% for the full year. Does that, in some way, indicate that there is an acceleration taking place or that you all are doing something different to drive the online sales? 
Dennis Nelson: Bill, I think the main thing is we might do a better job of inventory in our online store and continue to expand the selection to some degree. But as I recall, the online shopping was pretty strong in general at the -- in the retail world over the fourth quarter. And I think we did a nice job with it. 
William Dezellem: And then a couple other questions. First of all, the 14.8% comp that you had in February, should that lead to an increased level of fixed cost leverage compared to what we've been experiencing, assuming that you're able to have some respectable comps in the final 2 months of the quarter? And then the second follow-on is relative to the vacation accrual that was referenced, would you detail the impact that you anticipate in the coming year, please? 
Dennis Nelson: Karen, do you want that? 
Karen Rhoads: Yes. On the first part of -- on the 14% comp for February, I do think we just all need to keep in mind in the first quarter, second quarter, the absolute dollars of those comps are a little bit different than in the back half where sales are stronger. And so, the leverage impact is different in the first half of the year than it is in the back half. But definitely, we take that topline performance and try and leverage it in any of those categories where we can through the expense items. So I think that our team's been doing a very good job of watching that. And on the vacation accrual, I do not have a quarterly impact. Tom, if you have anything there? 
Thomas Heacock: I think the reduction in the fourth quarter was maybe about $700,000 or so, and then -- so that would be kind of spread ratably over the course of 2012. I'm thinking that... 
William Dezellem: It would be a higher level in the quarter? 
Thomas Heacock: Correct. By bringing it out by quarter, I don't know that we have that number. 
Operator: Our next question comes from the line of Alan Silverman of Wellington Shields. 
Alan Silverman: Is there any change in the countries that you're buying from, particularly because of costs? 
Dennis Nelson: I don't believe so. I think we're still sourcing from the same vendors and agents as we have been. Bob, you had... 
Robert Carlberg: We are testing some other waters. We've -- we're looking at Bangladesh. We've got Mauritius and a little bit more from India, just so that we're not quite as dependent upon China. And with the R&D situation and their labor situation, we're just trying to make sure we're diversified. 
Alan Silverman: And one short question about the stores this year, the new stores. Where are you opening? 
Dennis Nelson: Well, as we've mentioned in the call, we have 2 in Oregon, the one in Virginia. We have one around the Youngstown, Ohio area, one in Wyoming, North Carolina, New Mexico, Chicago, one in Denver, one in the Pittsburgh area and one in Palmdale, California. So they're kind of spread around the country. 
Operator: Our next question is a follow-up from Ms. Margaret Whitfield of Sterne Agee. 
Margaret Whitfield: To follow up on that, Dennis, what do you need to see to open any additional stores in the Northeast? I wondered how your Providence and Natick stores are performing. Also see a very tough comp coming up in April. I wondered what promotional offers you might be planning for April. 
Dennis Nelson: The Northeast, we continue to review. And we like our progress in the Upstate New York, the Maryland area that we've been in now for a little -- close to 2 years and some of the Philly areas continue to grow. And we've only been open in the New England area for maybe 4 months or so. So in any new area like that, that's brand new to us, we will watch that for at least a year and continue to analyze each season and also look for potential opportunities down the road. But we don't rush in there, where we promote our people from within. We want to have a strong personnel to go into new markets and get people to know us and understand our selection and service. I'm sorry, what's the second question? 
Robert Carlberg: Promotions. 
Karen Rhoads: Promotions. 
Dennis Nelson: Yes, please. 
Robert Carlberg: This is Bob. We are starting our annual spring brand promotion. It actually started this Monday, and we've got more brands to participate in that. And we use that to kind of kick off spring. We don't have a promotion per se in April. We'll start again in June. We've got 2 promotions scheduled in June, and then our annual BKE denim kick off. 
Operator: [Operator Instructions] We have a follow-up from Adrienne Tennant of Janney Capital Markets. 
Adrienne Tennant: Karen, I think these are for you. Can you give us an updated split or if you've ever given this between your real estate that's in A, B and/or -- and C malls? And then 2 others, how should we think about the 2-week earlier Easter? Obviously, it stays in April. But I was wondering if there is any meaningful shift from the couple of weeks going into Easter from spring break. And then lastly, are your merchandise margins at historically peak levels? And if so, what else can you do to sort of drive higher merch margins? 
Karen Rhoads: On the A, B and C malls, Dennis may want to add into this too. But as we've kind of looked at that in the past, there's a lot of different definitions of what people consider an A, B or C mall, so we kind of hate to put our stores into those specific buckets. 
Margaret Whitfield: By markets maybe, MSAs. I know at one point, there were 20% of your stores that were in smaller MSAs. I was wondering if you could give us any color on that. Has that changed, or how do you characterize them? 
Dennis Nelson: In the smaller markets, which I think where like towns of 50,000 or smaller, we still have roughly the same amount, and that might be a little less than 20% now as we've gone into other markets. But they're still very good markets for us. And we're in all the strong regional shopping centers and some outstanding centers from Bellevue Square in Seattle to NorthPark in Dallas to Mall of America, Woodfield in Chicago, Somerset in Detroit and the -- and we're opening in Cherry Creek in Denver this year. So we're in all the stronger centers. So we just look at each situation, and we have the ability if the economics are right on that center that we can do good business and look forward to playing in great shopping environments, as well as unique niche situations that we can do well in, okay? Karen, you want to go now? 
Karen Rhoads: Yes. On the Easter shift, we do not think it will have a material impact on our comps between March and April, because a lot of our strength does come from the various spring breaks, which is very difficult to try and track all of the different spring breaks for -- because it would apply both to high school, to college spring breaks. So I think kind of as you mentioned, where Easter does fall still within April. Although it's 2 weeks earlier, we don't think there'll be a material shift. But again, we try and look at that whole first quarter, those 3 months combined on that piece of it. 
Margaret Whitfield: And then on the merch margins? 
Karen Rhoads: On the merchandise margins, I guess last year was probably the peak. This year was off just slightly from a year ago. But I think our buying team has done just a fantastic job holding those margins during a tough pricing year. And again, with the buyer, with the -- our Vice Presidents of men and women's merchandising on the phone, they may have some thoughts to add into this as well. 
Robert Carlberg: It looks like for the first half of the year, we'll probably get some help on the costing side, maybe some small changes, a little bit more flexibility from the factories both on the fabric side, part of that being the cotton situation. And then sourcing from multiple countries has given us a little bit better edge on the costing side. 
Margaret Whitfield: Great. Did you actually give us the AUC in the fourth quarter? I'm sorry if I missed it. 
Robert Carlberg: What it was specifically? 
Dennis Nelson: The -- released this -- or your topic this morning. 
Margaret Whitfield: I'm sorry, I didn't hear that. The... 
Dennis Nelson: Karen, do you have that average unit cost? 
Thomas Heacock: I think at the end of the quarter or end of the year, inventory was up a little over 17%. And I think about -- on a unit basis, I think inventory was up a little over 8%, so the rest of that would be cost. But I think that isn't necessarily cost on like-for-like part. A lot of it shifts between -- like on the woven prices we're up, but there's more fashion, there's more detail. From -- shift towards a little bit heavy -- more heavily skewed towards denim, which has higher price points. And even within the denim, there's different shifts. So that's the big part of it. 
Operator: There are no additional questions. Please continue. 
Karen Rhoads: All right. Well, at this time, we'd like to conclude the call then. And thank you, everyone, for joining us and for their questions. And have a great day. 
Dennis Nelson: Thank you. 
Operator: That does conclude our conference for today. Thank you for your participation and for using AT&T Executive Teleconference. You may now disconnect.